Operator: Thank you for standing by, and welcome to the Q4 2023 Valley National Bancorp Earnings Conference Call. [Operator Instructions] Please be advised that today's call is being recorded. I would like to turn the call over to your host, Mr. Travis Lan. Please begin.
Travis Lan: Good morning, and welcome to Valley's fourth quarter 2023 earnings conference call. Presenting on behalf of Valley today are CEO, Ira Robbins; President, Tom Iadanza; and Chief Financial Officer, Mike Hagedorn. Before we begin. I would like to make everyone aware that our quarterly earnings release and supporting documents can be found on our company website at valley.com. When discussing our results, we refer to non-GAAP measures, which exclude certain items from reported results. Please refer to today's earnings release for reconciliations of these non-GAAP measures. Additionally, I would like to highlight Slide 2 of our earnings presentation and remind you that comments made during this call may contain forward-looking statements relating to Valley National Bancorp and the banking industry. Valley encourages all participants to refer to our SEC filings, including those found on Forms 8-K, 10-Q and 10-K for a complete discussion of forward-looking statements and the factors that could cause actual results to differ from those statements. With that, I will turn the call over to Ira Robbins.
Ira Robbins: Thank you, Travis. In the fourth quarter of 2023, Valley reported net income of $72 million and earnings per share of $0.13 exclusive of non-core items, including the one-time special FDIC assessment tied to the year's bank failures. Adjusted net income and EPS were $116 million and $0.22 respectively. While I'm pleased with the quarter's balance sheet trends, I'm disappointed with the earnings and profitability metrics, which I will discuss shortly. On the positive side, we made progress enhancing C&I growth while curtailing commercial real-estate originations. This enabled us to both accrete organic capital and reduce funding needs. On the deposit side, we added a remarkable 14,000 net-new consumer households and 8,000 net-new commercial deposit relationships during the year. This represents 4.5% growth in consumer households and 10.5% growth in commercial relationships from the same-period a year-ago. The ongoing addition of new deposit clients is critical as it directly relates to Valley's franchise value and our future earnings potential. Our new customer growth was broad-based across all of our geographies and I might add was undertaken, against the backdrop of a difficult external environment when mid-sized banks like Valley were too often front-page news. During the quarter, our new relationships, helped to generate strong customer deposit inflows, which enabled us to significantly reduce our reliance on broker deposits. While customer deposit inflows were exceptional, the organization wide focus on ensuring a successful core conversion in October likely led us to take our eyes off the ball relative to deposit pricing. There is no doubt that this negatively impacted net interest income during the quarter and in a few minutes, Mike will illustrate some of the subsequent efforts that we've undertaken to manage these deposit costs going forward. From a strategic perspective, we are refocusing on holistic customer profitability and will return to pricing deposits in consideration of balance and return as opposed to just balance. The quarter was also impacted by a few additional factors worth calling out. First, waived service charges and proactive efforts taken to supplement customer support both associated with our core conversion weighed on quarterly earnings by an estimated amount equaling approximately $0.01 per share. These efforts were enacted out of an abundance of caution to ensure that our customer experience smoothly transition to our new system. I'm pleased with the customer response to our core conversion, but acknowledge that some of the amounts of the excess support costs will persist in the first quarter as well. Secondly, our provision was partially elevated as a result of a loan charge-off in our commercial premium finance business. The after tax impact of the associated provision was approximately $0.01 per share as well. This business line has approximately $275 million in outstanding balances and we have an agreement in-place to sell this business and a portion of the outstanding loans, at what is expected to be a modest premium during the first quarter of 2024. While this quarter's earnings are not satisfactory, I continue to believe that our strategic progress over the last few years, position us well in the evolving banking landscape. The financial consistency that we have achieved in support of the strategic evolution is evident in our tangible book-value growth results. Our stated tangible book-value has increased 52% since 2018, which is more than double our proxy peers at 25%. Our value-creation as measured by tangible book-value plus the dividends, we have paid out totaled 90% since 2018 or more than 1.7 times our proxy peer median of 53%. From a balance sheet perspective, we have successfully transformed and diversified our funding base. At the end of 2017, approximately 92% of our deposits were held in our branch network. By utilizing technology to expand our delivery channels, and establishing new growth-oriented deposit verticals, we have reduced our reliance on branch deposits to just 65% today. From a geographic perspective, 78% of our total deposits were in the Northeast branches in 2017. Today that number is down to just 45% of total deposits. Our focus on geographic diversity and holistic relationship banking has benefited the asset side of our business as well. In 2017, 78% of our total loan portfolio was in New Jersey and New York. That composition has declined to just 55% today. In 2014, we entered Florida with the acquisition of first United Bank, which had just over $1 billion in loans. Through additional strategic acquisitions and targeted organic efforts in this dynamic growth-oriented market, our Florida loan portfolio has expanded beyond $12 billion. There continues to be significant diverse commercial growth opportunities available to us in Florida and across our entire footprint. The proactive evolution of our technology infrastructure is a less tangible, but equally significant achievement for our organization. We have recruited and developed a strong pool of technology talent which has helped us to modernize our infrastructure and positions us to be on the leading-edge of further advancements in the banking space. Our technology adoption has allowed us to scale the franchise with limited net headcount growth. Since 2018, we have nearly doubled our asset-base from $32 billion to $61 billion with a mere 17% increase in headcount. Our recent core conversion aligned technology across our company and provides additional capabilities, which we look-forward to leveraging for our clients. As we move past the conversion, we anticipate that further efficiencies will also emerge. We have also focused on enhancing a more uniform data infrastructure, which allows us to react quickly and purposefully to changing market dynamics. An internal AI working group has been established to help us determine appropriate potential use cases and to begin to execute on related opportunities. I now want to pivot to our strategic imperatives for the coming year. While none of these are new initiatives for Valley, we continue to believe that they would drive shareholder value over the long-time. First, we need to continue to drive core deposits to the bank. We have an incredible service-oriented branch network across our dynamic geographic footprint. We'll generate more consumer and commercial activity out of these locations in 2024. As the curve increasingly normalizes, we will further leverage the existing specialty niches that we have established and will build-on our momentum for the second half of 2023. Secondly, we will continue to de-emphasize investor commercial real-estate lending in favor of C&I and owner-occupied CRE. We have restructured our commercial banking organization to better align expertise and experience with opportunities in our markets and business lines. Our enhanced treasury management capabilities and product offerings will support expanded wallet share among our customer-base and help us to acquire new customers on the commercial side. We have also adjusted our incentive programs in support of our deposit-gathering and lending goals, which will drive further strategic alignment across the entire organization. Finally, we will continue to grow our differentiated non-interest income businesses to diversify our revenue base. Through organic and acquisitive efforts, we have developed a robust suite of fee income products and service offerings for our growing customer-base. The recent enhancements of our treasury management offering will help to offset certain capital market headwinds associated with lower swap related revenues in 2024. The industry challenges of the past year confirmed to me that we have undertaken the right long-term strategy and I'm pleased with our ability to navigate this difficult year. 2024 will be about accelerating our progress towards achieving our strategic initiatives and improving our performance as we continue to mature. As we execute on these initiatives, I want to reiterate that we continue to prioritize tangible book-value growth. We believe that consistent growth in tangible book-value would drive shareholder value over-time and we continue to expect to outperform our peers on this metric. With that, I will turn the call over to Tom and Mike to discuss the quarter's growth and financial results.
Thomas Iadanza: Thank you, Ira. On Slide 6, you can see the quarters deposits trends. Direct customer deposits increased approximately $1.6 billion to largely offset the significant $2.3 billion reduction in indirect deposits. The meaningful reduction in our reliance on wholesale deposits was a key highlight of the quarter. We generated strong growth in our interest-bearing transaction accounts and we're pleased by the slowdown in non-interest deposit runoff. That said, we acknowledge, at a competitive interest-rate was one of the tools used to support our generation efforts during the quarter. Still, the pace of deposit cost increases slowed. And in a moment Michael outlined efforts, which we have undertaken to control interest expense on a go-forward basis. The next slide provides more detail on the composition of our deposit portfolio by delivery channel and business line. Traditional branch deposits increased approximately $600 million during the quarter. This growth was spread across our geographic footprint. Our specialty niches, increased approximately $1 billion as well with key contributions from our online delivery channel and technology deposit team. Turning to the next slide, you can see the continued diversity and granularity of our deposit base. No single commercial industry accounts for more than 7% of our deposits. Our government portfolio remains diversified across our footprint and is fully collateralized relative to state collateral requirements. Slide 9 provides an overview of our loan growth and portfolio composition. At the top-left, you can see proactive growth slowed down, which occurred throughout 2023. Ultimately, we achieved the lower-end of the 7% to 9% growth target that we had laid out at the start of the year. Annualized loan growth slowed consistently as the year progressed, illustrating our ability to be responsive to changing market dynamics. The following slide breaks down our commercial real-estate portfolio by collateral type and geography. As a reminder, we have an extremely granular loan portfolio, which is well-diversified by collateral type and geography. Our debt service coverage and loan-to-value metrics remain very attractive. We continue to closely monitor pools of maturing and resetting loans and believe that our borrowers are well-positioned to absorb the pass-through of higher rates. This reflects consistent underwriting discipline at conservative cap rates and significant stress-testing efforts at origination. The next two slides provide additional details around our multifamily and office portfolios. From a multifamily perspective, our $8.8 billion portfolio includes $2 billion of co-op loans with an extremely low loan-to-value. Exclusive of our co-op portfolio our Manhattan multifamily exposure is a mere $600 million, which you can see in the last column of the table. The remainder of the portfolio is well-diversified across our footprint with low average loan sizes at attractive loan-to-value and debt service coverage ratio metrics. With that, I will turn the call over to Mike Hagedorn to provide additional insight into the quarter's financials.
Michael Hagedorn: Thank you, Tom. Slide 13 illustrates Valley's recent quarterly net interest income and margin trends. While end-of-period noninterest-bearing deposits stabilized the decline in noninterest deposits on an average basis weighed on quarterly net interest income by approximately $4 million. Throughout the quarter, we replaced maturing direct and indirect CDs with relatively high-yielding interest-bearing transaction accounts and promotional retail CDs which was the cost of our significant customer deposit growth during the quarter. The right-side of this page outlines efforts that have been undertaken to more precisely, manage our funding costs on a go-forward basis. We have cut-back the high-yield savings rate in our online channel, but remain competitive. We have also significantly reduced our one year CD rate which will help to mitigate the repricing issue that we faced during the recent quarter. Finally, we are working with our relationship bankers to ensure that deposit rates are reasonable in the context of holistic customer profitability. In the few quarters following the industry's challenges in March, we priced deposit products to ensure that direct customer balances rebound. As we continue to move past these challenges, we will price products with a more even consideration of balances and profitability. Turning to the next slide, you can see that non-interest income on an adjusted basis was generally stable from the third quarter of 2023. Deposit service charges declined sequentially as we waived certain transactional fees around the time of our core conversion. Other than this growth trends were relatively strong for the quarter, despite the headwind of swap revenues. On the following slide, you can see that our non-interest expenses were approximately $340 million for the quarter. Adjusting for our $50 million FDIC special assessment and certain other non-recurring litigation and merger charges non-interest expenses were approximately $273 million on an adjusted basis. Compensation costs continue to be very well-controlled. The sequential expense increase was primarily due to higher traditional FDIC assessment costs, consulting costs, occupancy and advertising expenses, and the seasonal uptick in other business development expenses. A portion of the quarter's expense increase was associated with certain consulting and customer support initiatives associated with our core system conversion in October. While the customer experience, associated with our conversion has been extremely positive some of these costs will have a tail into the first-quarter. As you know, the first-quarter also has traditional seasonal headwinds associated with payroll taxes. We are very pleased with our ability to proactively control headcount and associated compensation expenses throughout 2023. We expect that 2024 will be a more normal year in terms of expense trajectory and as you will see shortly, we anticipate Mid-single-digit expense growth in the coming year. Slide 16 illustrates our asset quality trends for the last five quarters. While non-accrual loans ticked up somewhat during the quarter, they remained relatively flat on a year-over-year basis. Net charge-offs were $17 million during the quarter and included approximately $5 million associated with our commercial premium finance business, which is under an agreement to sell during the first-quarter of the year. As a result of our higher provision, our allowance for credit losses for loans increased one basis-point during the quarter to 0.93% of total loans. The next slide illustrates the sequential increase in our tangible book-value and capital ratios. Tangible book-value increased nearly 2% from the third quarter of 2023 and benefited from a reduction in the OCI impact associated with our available-for-sale securities portfolio. We are pleased that during the year, we were able to support our strong loan growth and organically accrete regulatory capital. Based on our expected loan growth in 2024, we would anticipate this trend to continue. We lay out our expectations for the coming year-on Slide 18. We anticipate generating mid-single-digit loan growth with a focus on C&I and non-investor commercial real-estate in 2024. Based on consensus interest-rate expectations for 2024, we would anticipate net interest income growth between 3% and 5%. Non-interest income should grow between 5% and 7% on an annual basis as headwinds in our swap business are more than offset by continued scale in our wealth, insurance and tax advisory businesses as well as our recently enhanced treasury management capabilities. Noninterest expenses should grow approximately in-line with revenue, higher FDIC costs and inflationary pressures are offset by savings from our core conversion and the continued benefits of our previously-announced expense initiatives. Factoring this guidance together, we expect 2024 EPS to come in just slightly lower than the existing 2024 consensus estimates of $1.08. With that, I'll turn the call-back over to the operator to begin Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Frank Schiraldi of Piper Sandler. Your line is open. Pardon me, Frank your line is open.
Frank Schiraldi: Sorry. Just on the -- NII guide. I recognize you guys follow the market and the forward curve here, and most of those rate assumed rate cuts are back-loaded in the year. What sort of annualized basis, or annualized pickup do you get, in terms of either NII or NIM. From a given 25 basis point - what's the assumption?
Thomas Iadanza: So, I want to make sure I understand the question. You want to know what just the impact would be of a single 25 basis point increase or cut, I'm sorry?
Frank Schiraldi: Yes, basically, as you get if we get three or four cuts. I mean I'm just trying to assume, or get a sense of what 25 basis points does - on average for the NIM, or NII in your modeling?
Thomas Iadanza: So, I'm going to direct you back to our guidance around 3% to 5%. So, what we're expecting right now in 2024 is roughly 175 basis points. That will affect most short end of the curve as you get less inversion in the curve. And that first increased does start in the end of March, you don't get much in the first quarter. But you are correct, they are more back-loaded on the cuts into the fourth quarter of 2024. So, while I'm not prepared to answer your question on what is exactly a 25 basis point cut, because it's going to depend upon the mix of the funding sources at that time. For the full year, we're expecting 3.5% increase in NII. And that should drive a slightly higher NIM year-over-year.
Thomas Iadanza: And Frank conceptually, we're relatively neutrally positioned to the short-end of the curve, so there not a significant move, based on if those cuts don't materialize. We're much more exposed to the longer end as it impacts the - benefit that we'll get as our fixed-rate loans mature and reprice.
Frank Schiraldi: Okay. So, I guess over the full curve, you're still liability sensitive, but more neutral to the front-end?
Thomas Iadanza: Yes, that's correct.
Frank Schiraldi: Okay. And just kind of the - I don't know more theoretical question. In terms of the business mix has changed a bit here, over the years with the specialized deposit opportunity. The opportunity on the C&I side, which you guys continue to see in 2024 in a more normally sloped yield curve. What do you think sort of a normal sort of margin is, a normalized sort of NIM is, for Valley and the way you've built the balance sheet here?
Ira Robbins: Yes, and this is Ira. I think it's a lot higher. I mean, obviously being an inverted curve for three years running the balance sheet, in which we do where we try to take as much of a neutral stance as we can. It's a real challenging environment for us. That said, as the curve does get to a more normalized focus. We do anticipate significant margin expansion as we get back to an appropriate environment. We've done a really good job. Shifting the commercial growth within the organization. We've been running a 10% CAGR on C&I growth for an extended period of time. And as you mentioned, the diversification of the funding base really will help us, as that curve gets a little bit more normal. And we can get back, to an appropriate deposit pricing approach across the organization.
Frank Schiraldi: Okay. Great. And then, if I could just sneak in one last one on that kind of front. In terms of the specialized deposits coming on board in the quarter. The growth there and just thinking through the betas on your deposit book, the specialized versus the deposits in the branch. Does - are the betas expanding here given the national businesses and would that help you - obviously help you maybe to a great degree in a down rate environment?
Ira Robbins: I mean, those definitely have a bit of a higher beta in some of those national businesses and I think that refers back to what Travis said that, it's going to be a bit more neutral. When we have some of that curve impacted right-off the bat. I think the mix-shift from out of noninterest-bearing really impacted us during the course of the year. So, that's changed a little bit of the assets liability. Right so, we do have more sensitivity on the downside on the deposit costs and what we did when we were running 28% to 29% non-interest bearing deposits, as those are now sitting in - interest interest-bearing deposits. So that is going to be a benefit to us. But I think it's really mentioned, it's the diversity and the granularity that sits within that deposit book that we're really excited about and what the opportunity is. As we mentioned earlier on the call, I think deposit pricing, got a little bit away from us. As we are focused more on the core conversion. That said I do believe it's an easy fix. We will focus on, and make sure that 2024, gets back to results that you would expect from us.
Frank Schiraldi: Okay. Great. I appreciate the color. Thanks.
Ira Robbins: Thanks.
Operator: Thank you. One moment please. Our next question comes from the line of Steve Moss of Raymond James. Your line is open.
Steve Moss: Good morning. Just following-up here on the asset liability side - of the business. Just curious with regard to, how much of your fixed-rate loans and securities reprice in 2024?
Ira Robbins: Yes. Steve, so we've talked in the past, we have $20 billion of fixed-rate loans. It's not necessarily linear. So, we have more. It's more of our fixed-rate loans repriced in the second-half of the year, than do in the first half. But in total, it's between $3 billion and $4 billion that would reprice this year. But again that's relatively back-loaded.
Steve Moss: Okay. And then on the - security side. I'm assuming there's probably just minimal cash flows for the upcoming year?
Ira Robbins: Yes, duration of securities portfolio is extended to seven years, give or take. We get. Yes, it's really de minimis. It's a $5 billion portfolio, it's a couple hundred million dollars in the year.
Steve Moss: Okay. And then on credit here, just curious to get a little more color on the uptick in C&I and CRE. In case, it sounds like some of it - from the premium finance that you charged-off this quarter, but just kind of curious as to what the loan types are in any incremental color you can give?
Thomas Iadanza: Yes. Hi Steve, it's Tom. There was an uptick in that non-accrual, primarily in the CRE business, $20 million to $10 million and has since been repaid. When you look at our performing past dues you will see a decline on the commercial side and very little if any in that 90-day bucket. The increase in the accruing past dues on that residential side, yes the color on that. It's our jumbo on-balance sheet portfolio average loan-to-value of 58%. We don't expect any loss. Historically, looking over 15-year period. Our real estate portfolio ran about 35% of charge-offs against our peer banks. We expect that trend to continue. We are seeing really improvement across the board. Our metrics remained solid, especially on the commercial side.
Steve Moss: Okay. And just curious - I know it's in the text. Do you guys did refer to an uptick in classified assets, just kind of curious where did criticize and classified assets in the quarter here?
Ira Robbins: Travis you have the number, but the uptick, we do that forward review of all of our loans, our total portfolio, especially looking early on in the year at the ones that are repricing and resetting. There was a migration of those loans in the third quarter, primarily into that special mentioned category, where they might have fallen below or right at a one-time set service coverage. I just want to remind everyone, the loans that we repriced during 2023, and I'll review of 2024 reprice, resulted in no modifications of any of the contractual terms to the repayment. But Travis, there is a different number that I'm referring to.
Travis Lan: Yes. I don't have the number in front of me, but I would say in the third quarter that stress-test process that Tom referenced, resulted in a more significant increase in criticize and classified loans. Again not an impression that we would see additional losses, but just the way the debt service coverage is to shake out. In the fourth quarter it was a much more normal increase. So it was not as significant.
Michael Hagedorn: And this is Mike. Net increase would have been obviously in special mention credits, not the more extreme ratings.
Steve Moss: Okay. Got it. And maybe just following-up to that point as you seeing some borrowers get close on debt service coverage ratios. Just curious to what color you can give around whether it's a workout process, borrowers - how borrower's ability to maybe paydown loan. Just kind of what you're seeing and what potential - NPA formations you could see in 2024?
Ira Robbins: And again, we haven't had a, modify any terms to those borrowers where we were repricing in the past, a year, year and a half. Typically, our underwriting standards, which start, we use a higher cap level, then probably our peers use. We underwrite to current cash flow, we don't underwrite to future cash flow. Our leverage tends to be lower going in our average loan-to-value and our real estate portfolio is about 60%. Of course, all of our asset classes. So there is flexibility. We do a lot of business with existing customers. They have the wherewithal. If it's tight, we'll either get additional collateral, a paydown for reserve to support any funding below and at appropriate level. And the other piece I want to add, the refinance activity, especially multifamily, picked up in the fourth quarter. So it did allow us to exit those non-relationship, non-core loans.
Steve Moss: Okay. Great. Thank you very much for all the color.
Ira Robbins: Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Michael Perito of KBW. Your line is open.
Michael Perito: Hi, good morning. Thanks for taking my questions. I understand this isn't - just sort of something you guys guide to. But I'm trying to understand some of the cadence of kind of profitability around NIM, and some of the expense targets and the rationalization. I think which we'll start to have a bigger benefit in the middle part of the year. Just are you guys willing or able to just kind of qualitatively talk about how you're thinking in the current budget about what the kind of return ROE profile will look like as you exit '24. I mean, it feels like the first half of the year might continue to be a little bit depressed, but just wondering if you can kind of give any indications around that, cadence relative to the guide that you provided?
Ira Robbins: I think your perspective Mike is pretty accurate. So, I think in the first quarter of the year. I mean, whether it's on the expense side, the headwind to payroll tax were on the NII side, bay count and other things and the lack of kind of change that's projected in the industry environment. We anticipate and generally stable margin I'd say in the first quarter, improving somewhat in the second quarter. And then getting more expansion in third and fourth quarter. I'm just kind of the way the budget is built now based on the implied forward curve. In terms of expenses, we have people look back to last year, there was a $7 million pickup in the first quarter related to payroll taxes. So you're looking at something similar there. As we stand here in December. We've - on an annualized basis got $20 million of expense saves out related to the headcount reduction that was enacted in June. We think there is another $8 million or so, give or take on - from an annualized perspective from further actions here in the first quarter on the personnel side. And then as we get into the second quarter and beyond. There should be some saves related to the core conversion some of these elevated costs that we've talked about with customer support efforts and other things. So, I think the first quarter, there will be some seasonal expense headwind, but then you're looking at general stability over the three quarters following. So, I do think the profitability improved throughout the year when you blend that altogether, again in the midpoint of our range, you get to $1.04, $1.05 that puts you at an ROA level that I'd say it's similar to what we've achieved this year, but it does improve as year goes on.
Michael Perito: Yes. I mean, it should kind of put you maybe in the 90s on the ROA on the exit. I guess the question is, if revenue to expense grow dollar-for-dollar right. That's not going to really improve much. That's kind of what the outlook is for '24, but I guess what gives you confidence that in '25 and beyond, you guys can get back into more positive operating leverage territory and continued to see those improvements kind of carry-forward in '25. I mean, is it just margin, is there other kind of unit economics in some of the specialty businesses that you're growing that, will benefit from scale, would love some additional color there?
Ira Robbins: I think there's a lot of opportunity for us. I think if you look at the net interest income side, right sitting in an inverted curve hopefully, isn't one that we sit in for that much longer. But it definitely has an impact on us. I think the core conversion is really understated as we think about what the ability to scale looks like for us. We changed every single one of our clients into a new core platform across the entire organization. That said, we put in 261 different APIs sitting on-top of that core conversion to think about what their client experience looks like. You go into Valley you open up a checking account, in one of our branches. It's the exact same platform that you do when you're opening up a digital account sitting at Valley. So, we are very smart I think in the approach that we took as to how we were going to leverage the infrastructure and technology base. So from a scalability perspective for us. We're not paying per individual unit, we open up an individual account to a core provider somewhere. We really have a technology infrastructure that's scalable here that's focused on what that client experience is going to look like. And we'll definitely drive outsized growth. When I talked about some of the commercial growth numbers in the consumer growth numbers, those are household growth numbers. Not even individual accounts. That was done during a core conversion when everyone hated mid-sized banks. So, I think there's a lot of positive tailwind that we have, when we think about what we're doing from our franchise value perspective. So, I'm really excited about what I think the opportunity, is on the expense side of the book, but the revenue side is definitely going to begin to accelerate as well.
Michael Perito: Helpful. And then just lastly, kind of on the same line of questioning. You guys did the 5% to 7% loan growth target for 2024, obviously still trying to…?
Ira Robbins: Look at our fourth quarter originations. They were $2.2 billion [technical difficulty]
Operator: One moment please.
Michael Perito: Sorry, can you guys still hear me I lost.
Operator: Yes, just one moment please. [Operator Instructions] 
Ira Robbins: Travis, can you hear us.
Operator: Yes sir, loud and clear.
Ira Robbins: Okay. Sorry about that.
Operator: Thank you. We still have Mr. Perito connected also.
Ira Robbins: Okay. Sorry Mike, we were hearing your question on loan growth, but it dropped out when you say we got….
Michael Perito: Yes. No problem. And I wish it was more just asking, it's kind of same line of questioning, just the loan growth as you guys focus more. Kind of on pricing of customers and holistic kind of customer profitability et cetera. Like is there, is it fair to assume that like the incremental loan growth and the customer loans that you bringing on you guys would think with some of the deposit pricing changes et cetera, will be coming on at better kind of profit margins than they were in 2003, or is there like a lag to some of those impacts or how should we think about that dynamic?
Thomas Iadanza: You should expect that our spreads on those will continue to widen and increase and give you a little context around that. We have seen an uptick in that C&I pipeline and that business is probably 70% of what its high point was and it represents 65% of our total portfolio. And it's across the - old business lines, especially in our healthcare and fund banking lines. So, we are starting to see the improvement and spreads are holding.
Ira Robbins: Mike, really just adding to that, when you think about the compression we've seen in the margin is largely a function as we talked about some of the mix-shift and some of the other repricing as maybe they stabilized, which they seem to have or go down. There really is going to be significant benefit to us. The new value margin that we put on is around 350 to 360, which reflects the ability that we have from a pricing perspective and how we're going about it from a profitability perspective. The new loans that we put on, we've been able to bring on equal amount of funding associated with that. From a client perspective, so it's not as even if we're out in the broker market. So once we do get some stabilization, which we anticipate having on that mix-shift. There really is upside for what that margin looks like based on the fact that the new originations, as Tom mentioned, $2 billion came on at a spread of positive 3.50 for us.
Michael Perito: Helpful. And then just I wanted to clarify some quick and I'll step back. But just Mike, can you repeat. I just want to make sure I heard it correctly just build rate assumptions - baked into the NII guide around Fed funds. And then just to be clear, Travis, you're basically saying, like on the short-end, whether it's two cuts three cuts it doesn't actually have a huge impact. 2024 is more the long-end and then some of the back book and other dynamics that we've been discussing. Just want to make sure. I heard that all right?
Michael Hagedorn: That's correct. And while we haven't laid out specifically. And we expect the Fed to cut this amount on this date. I can tell you the first rate cut anticipate is 25 basis points, but they accelerate as the year goes on. So, we get larger rate cuts in the third and fourth quarters. And again, the biggest benefit to us would be a lessening of the inversion in the curve and a reduction in short-term interest rates. Hence why we took the cost this quarter to shorten our duration on our liabilities, are just funding generally, as Tom talked about around the mix of our deposits moving away from FHLB and some of our maturing where they were indirect or direct CDs that we had in the fourth quarter to money market in transaction accounts, and that was all done purposely to prepare the strategy for the Fed to cut.
Michael Perito: Okay. Thank you guys. I appreciate taking my questions.
Ira Robbins: Thank you.
Operator: Thank you. One moment please. Our next question comes from the line of Jon Arfstrom with RBC Capital Markets. Your line is open.
Jon Arfstrom: Hi. Thanks, good morning. Just follow-up on that, Mike, is that the liability shortening. Is that largely complete for you guys at this point?
Michael Hagedorn: It's largely complete. There is another big piece in the first quarter is still to come. It was loaded front-end loaded, because we were preparing for this when we were putting on these liabilities was duration. Going back to the first quarter of last year. So, there is another piece in the first quarter, and after that it tails off by a bit.
Jon Arfstrom: Okay, good. And then on the same topic, Slide 13, you talked about the CD rate reductions in December. And then you have some more coming in - you're saying maturing liabilities in the first quarter. What was the reaction on the CD repricing and is this maturity liability pieces that deposits as well or what is that and where can that reprice?
Thomas Iadanza: So, the customer impact on it, is yet to be seen, but I don't expect it to be extreme. So to be really clear about that one year CD rate. The majority of the impact of that will be CDs that will roll. So if you remember from our previous comments. Back-in 2003 we put on several CD specials. Most notably, around 13-month duration and now those things are rolling at 12 and so we're reducing the roll rate. We generally average between 70% to 80% retention of the CDs. When we're in market, so I think there should be a prepaid tail there.
Jon Arfstrom: Okay. Good. And then Ira, it's kind of a margin question, but maybe not. But it feels like maybe the deposit pricing pressure was a little bit more than you expected. But to me I look at it and I think about the numbers and maybe we're at the bottom of the margin. So curious on that and then also curious about the trade-off decision, you talked about earlier about deposit growth against maybe some of the promotional pricing or things, you did together new accounts and bringing in deposits. Can you talk a little bit about that that trade-off decision that you guys made.
Ira Robbins: I think from a big picture perspective, there were a couple of variables. One, we made a conscious decision to go shorter right on our liability side. So, we could have extended or kept it the same duration as we were having before, but when we started to see some - the movement in November and sort of where the expectations were, maybe even a little bit earlier where the forward curve was on that short end. We definitely moved a little bit shorter, so that definitely negatively impacted the interest expense for the quarter. We do think that there'll be a positive impact to that, though, as we think about where 2024 comes out, sort of for the full year period. And that said, from a macro perspective, it was a very challenging year for an organization like ours, looking in the beginning of the year. What happened with Signature, what happened with SCV and the others, and we were really focused on retention of deposits. And as a result of that, I think we were probably maybe too lenient on some of our clients in acquiescing to some of their rate requests. We had a lot of money that moved to Treasuries right off the bat. And that said, we were really competing with that. Today, in the conversations we have with clients, I'm not so sure that we needed to necessarily do that, and we're going back, re-engaging with our clients again. We were a bit distracted, I think, in the fourth quarter, based just with the core conversion, and probably even in the third quarter, even leading up to that core conversion. For us, getting the core conversion done was important. We did it unbelievable. I had three email complaints, so that's it from clients out of an entire client base. It was really nothing. So there was a lot of focus on retention of clients through that core conversion. Once again, now I just think we get back having appropriate conversations with our clients, appropriate conversations when it comes to what the pricing should look like And we'll get the deposits back to an appropriate date as to what it should look like. But I think most importantly, we did an unbelievable core conversion. We retained all of our clients. We actually grew clients through a core conversion, which doesn't even necessarily happen. We put on, as I said, 10.5% household growth in commercial during this year. And those are unbelievable numbers. So while, once again, I said I'm not so happy with where the fourth quarter ended up, big picture, I'm not that concerned.
Jon Arfstrom: Yes, shouldn't beat yourself up too much. It's not terrible. But just one more thing. On net interest income kind of asked this earlier, but it implies a decent step-up your guide like about $140 million incremental from the run rate that you had in the fourth quarter. Do you guys think we're near the bottom or at the bottom, on-net interest income at this point?
Michael Hagedorn: So, we're certainly getting close. So let me do this, I'm going to direct everybody to Slide 6. I know that this is a really important topic. And when you look at the quarter-over quarter cost increase in deposits, you'll see that we started-off at 60 basis-points, when we had two consecutive quarters at 49 and then the third quarter and fourth quarter, it's only 19 basis points. So while we feel better about the direction of NIM, it's mainly that combined with the fact that we're starting to see some stabilization and maybe in our non-interest bearing accounts that non-interest bearing rotation. Going back to when we closed on Leumi, we had 36% of our total - funding sources in non-interest bearing. That's come down to 23%. Now in December, starting to see some stabilization. And when you combine that with the deceleration and the overall cost of deposits, that's why we feel like there's some additional increase in our NIM as 2024 plays out. Obviously we need to spend rate cuts to capture all of that opportunity.
Jon Arfstrom: Yes. Okay. All right. Fair enough. Thank you, guys.
Michael Hagedorn: Thanks.
Operator: Thank you. One moment, please. Our next question comes from the line of Steven Alexopoulos of JPMorgan. Your line is open.
Steven Alexopoulos: Hi, good morning, everyone.
Ira Robbins: Hi, Steven.
Steven Alexopoulos: Ira, I want to start. So when you took over as CEO, one of your top priorities was improving the efficiency ratio, right. And I know it was a rough year for everybody, because of what happened with rates and NIM pressure, et cetera. But when I look at the strategic imperatives for 2024, I'm very surprised. It felt like you moved the goalpost a bit that improving, where we are is not on there. Is this still a top priority for you and should we expect to see improvement this year?
Ira Robbins: Yes, look I think the contraction of what we saw in the efficiency ratio, is largely just a function of the NIM, Steven, right. And as we get back to better core funding, as we get back to some better diversification that sits within that asset class, the NIM will definitely expand as a result of that. We're down, I think we were at 3,325 plus or minus employees when I took over. We're sitting around 3,700 today and we're with $21 billion back then and $60 billion today. And I think we've definitely focused on what the efficiency looks like. We've definitely embedded technology in here. For me, it's not something that's even called out as a strategic imperative. It's just sort of the core of who we are today. I think, we're very focused obviously on what that efficiency is. As I mentioned earlier, the technology infrastructure that we put into place allows for scalability, which is something that's important to us. So, the technology, the drag and what the cost is for that, isn't going to be nearly what it was before. So definitely not focusing on it as calling it out isn't something that I want someone to take away and say, hi, it's not a priority for us. I think it's just day in, day out what we do. And I think as the NIM gets to an appropriate level, back to where we think it should be, you'll see that number dip back down to a number that you'll be happy with.
Steven Alexopoulos: Okay. Looking at so - if we look at the expenses, which were elevated, you called out, relates to the system conversion. How much was that in the fourth quarter? What's expected at 1Q and what comes out in 2Q?
Ira Robbins: Yes, in the operating expense number, there was $5 million associated with the core conversion. In the first quarter, we anticipate that'll be around $3 million, so you may be declining $2 million. And then from there on, it should be out.
Steven Alexopoulos: Got it.
Thomas Iadanza: I think, those are really the one-time items or infrequent, whatever you want to refer to them as. But keep in mind, there was dual operating expenses running those multiple platforms as well as during the quarter. Once we get to a better place, which we're pretty much right on the verge of, you're going to have those being eliminated as well.
Ira Robbins: And I do just want to go back to your efficiency comment, Steven. If you look back a year ago, our efficiency ratio was 50% in the fourth quarter '22, 60% this year, but relative to average assets, non-interest expenses declined in that same period. So, I mean, I think it is directly obviously it's directly tied to the revenue environment that you described. But I mean we've talked about the headcount reductions that we've seen. The limited headcount growth over the five years relative to the asset growth that we've put on. So the efficiency ratio does tend to be more tied to just market dynamics and things, but structurally and what we can control, I think we've done a very good job.
Steven Alexopoulos: Yes. Okay. Wanted to ask you guys called out that the deposit pricing got a bit away from you, because of the system conversion. What's the connection between the two?
Ira Robbins: We have a lot of relationship clients, which an organization our size should have. I think we have internal models as to how we look at pricing deposits. I think the focus largely on our frontline staff was on reaching out to clients, retaining clients, and some of the profitability metrics, as to how we think about engaging with our clients, how we want to direct certain conversations. We're probably distracted based on client retention, and based on just conveying to clients what was going to be new, with regards to how they approach the different systems. That said, I think certain deposit rates from the exception pricing perspective got a little bit out of hand. And there wasn't necessarily the focus that should have been on making sure that we were within our targeted guidelines as to what that pricing should be. That said, I'm very confident that we'll get there very, very soon.
Steven Alexopoulos: Got it. Okay. If I could ask one last one, sorry for all the questions. So, I'm trying where that the NIM, Travis, you said it's neutral in the short run, but Ira, you said multiple times your NIM should expand. I think you said very nicely once the curve looks more normal. How long are we talking? What's the lag? I would think it would be sooner than later, but if we get a positively sloped curve towards the back end of this year, is it a 2026 story before your NIMs start to look more normal? I'm just confused why the Fed cutting rates, given how much you're paying on deposits, you guys are one of the higher payers, isn't more beneficial in the short run? Thanks.
Ira Robbins: Yes. I think right there's the front end curve, I think coming down definitely is going to be impactful to us, but it's the long end where we have a lot more that's tied to. It's definitely going to be a pretty significant tailwind for us as to how we're thinking about where the net interest income is going to go. I think the commentary was more along. There's some day count issues really that first quarter, as well as we're not expecting much change within the first quarter as well. So once the curve does begin to normalize, we do believe that there's going to be some positive impact to that net interest income and some margin as well. That said, they're really not or forecasting anything to really change until the tail end of the first quarter, and there is that pressure from the day count right - off the bat as well.
Steven Alexopoulos: Got it. Okay. Thanks for taking my questions.
Ira Robbins: Thanks.
Operator: Thank you. One moment please. Our next question comes from the line of Nick Cucharale, Hovde Group. Your line is open.
Nick Cucharale: Good morning, everyone. Just a question on the non-interest income outlook. What are the primary drivers of the 5% to 7% year-over-year growth, and are you expecting a reversion of swap activity closer to the first half of 2023 as opposed to the back half?
Michael Hagedorn: So, the biggest driver would be, as I said earlier, stabilization in our non-interest bearing deposit balances. That was the biggest driver of net interest income.
Nick Cucharale: I said non-interest income?
Michael Hagedorn: You said non-interest income. I missed that. Sorry about that. So you can see that in our IP deck as well. It lays out the portions of that. Keep in mind that in 2023, we also had some one-time events related to some revenue recognition that aren't going to repeat in the prior year, but I think when you look at the totality of our fee income, we feel very good about where we're at, because it only generates about 10% of our total revenue. Sometimes, the increases in any one category get lost, but I do think given the lower loan growth that we have, swap income will be somewhat challenged and it will be replaced with things like FX, wealth management. And we have a very strong treasury management project going on in our company, and as we put on more C&I business, we would expect that to contribute to our fee income as well.
Nick Cucharale: Okay. And then just looking at the expense base, as you mentioned, some investments and some reduction opportunities throughout 2023, now that the core conversion is complete, what investments are you most focused on to drive the next leg of growth for the company?
Ira Robbins: I think a lot of them line up with some of the strategic imperatives that we talked about, right. I think when we think about the growth in the C&I and some of the specialty niche businesses that we have, there's definitely some technology investments that we put forth. That said, a lot of it from a foundation perspective is already there. It's just enhancements at this point for things that were already put in place, but really largely aligned with what we've talked about on the strategic side, mostly focused on some of the C&I stuff.
Nick Cucharale: Thank you.
Ira Robbins: Thanks.
Operator: Thank you. One moment, please. Our next question comes from the line of Manan Gosalia of Morgan Stanley. Your line is open.
Manan Gosalia: Hi, good morning. Can you talk about how you're thinking about deposit betas and deposit mix as rates come down? Is there still a lag in how deposit yields come down as rates come down? Do NIB deposits start to rebound once we get to a certain level in rates? So yes if you can expand on that and just talk about how you're thinking about deposit costs through maybe the first rate cuts versus the next few rate cuts?
Travis Lan: Yes, Manan, this is Travis. So, I do think there is some lag on the beta side on the way down. Our model assumes around 35% beta on the way down. As you can see, the cycle to date was 57% on the way up. Relative to non-interest bearing, our budget and our forecast assumes that it remains relatively stable as a percentage of total deposits, around 23%. But I do think there is a terminal point - with rates that you do continue to build that back up. And obviously, as we expand C&I and treasury management, I mean those are strategic initiatives that are in place, to continue to grow non-interest deposits faster than what we actually include in our budget. So that's some thoughts around that.
Manan Gosalia: Very helpful. On the loan growth guide of 5% to 7%, I know that includes some makeshift away from investors' CRE. So can you talk about some of the drivers? And also, what is the cadence of that look like? Is that more back-end loaded? And do you need some help from the environment there? Or is that based on customer conversations you're having today and there's a high degree of confidence that loan growth will accelerate as we get through this year?
Michael Hagedorn: Yes. It is based on the confidence we have in the conversation with customers and seeing the uptick in their requests from us and the build on our pipeline that we've experienced in the fourth quarter and so far into January. And again, pointing out to the originations in that fourth quarter, $2.2 billion up from that $1.8 billion in the third quarter. And the uptick in our pipelines and C&I contribution to that pipeline where it is now the lion share at 65% of our pipeline. So, we are seeing that activity. Typically, the first quarter is a slow quarter as people get their financial statements in place and you start seeing progressively more business as the quarters roll on.
Manan Gosalia: Got it. And the loan to deposit ratio should stay at about these levels of between 95% to 105%?
Michael Hagedorn: Yes.
Manan Gosalia: Great. Thank you.
Operator: Thank you. One moment, please. Our next question comes from the line of Matthew Breese of Stephens. Your line is open.
Matthew Breese: Good afternoon, everybody.
Ira Robbins: Hi Matt.
Matthew Breese: I had a few questions. Bear with me. First, I was hoping on the NII guides, could you provide just for context would love a sense of how dynamic it is, what the guide would be, or estimate what the guide would be under a no or minimum rate cut scenario for the year?
Michael Hagedorn: It is effectively captured in 3% to 5% range that we provided. If rates stayed flat, then we think that there would still be upside in NII and margin from our current levels. Again, the most exposure we would have is to significantly lower rates on the long end. So absent that - most other interest rate scenarios would end up in the kind of guide that we provided.
Matthew Breese: Got it. Okay. And I think you had also alluded that the NIM has already started to show some stabilization, hopefully stabilization in the first quarter. Could you provide some detail as to how the NIM provides on a monthly basis throughout the fourth quarter and if we started to see that stabilization already?
Michael Hagedorn: We did. November was the low point I would say on a monthly basis. When we were on the call last time, we looked back at six consecutive months of generally stable NII and margin. Some of the factors that we have already talked about in terms of shortening up the liabilities and other things provided a little bit of pressure in the fourth quarter. But I would say that the margin again was at its low point in November. If you look at what we originated, loan yields, loan origination yields also bottomed in November and bounced back in December. But deposit - new deposit origination costs actually declined throughout the quarter. So October was the high point and November was lower and December was even lower than that. One thing I would throw out there too, we do provide obviously in the deck what our loan origination yields are and they declined eight basis points in the quarter. But new deposit origination costs declined 11 basis points in the quarter, which kind of feeds into the commentary we provided on spreads. So November again was a low point on the margin. December was somewhat better, if that's helpful.
Matthew Breese: Yes, any frame of reference for what the difference was low to high?
Michael Hagedorn: It wasn't that significant to be honest. I think November was four or five basis points lower than December.
Matthew Breese: Got it. Okay. A couple other quick ones. I noticed that service charges on deposit accounts was quite a bit lower quarter-to-quarter, like 15%. Was that driven by the conversion and should we expect that line edge to come back to its normal kind of $10.5 million level?
Michael Hagedorn: Yes, so for about a month around the conversion we waived certain transactional fees. So if you look at the decline it was about a $1.5 million, $2 million bucks. That's exactly what that was. So otherwise that would have been flat. Obviously we put on a lot of deposits throughout the fourth quarter, customer deposits. So that should continue to drive deposit service charges going forward. That'll also be supplemented by the treasury management stuff that we talked about. That generates deposit revenue as well in the non-interest income area.
Matthew Breese: Okay. And then on the average balance sheet it struck me as odd. Cash balances or interest with bank deposits was down 90 basis points quarter-to-quarter to 4.6%. I usually look at that as kind of a Fed funds proxy. What happened there? What drove yields down so substantially in cash categories?
Michael Hagedorn: I think you're generally right. So we go through an accrual process to estimate what the cash payments received from the Fed are. The actual payments do tend to move around a little bit. So there are certain credits that go in and out there. So you can have a yield that may not directly align with the interest on overnight reserves.
Matthew Breese: Okay. But generally speaking we should say or model that back as Fed funds.
Michael Hagedorn: Yes, I think that's generally right.
Matthew Breese: Okay. On page 11 of the presentation, you showed a multifamily portfolio in pretty good detail. What struck me was that a number of these geographies have weighted average debt service coverage ratios sub 1.4 times. Which to me feels a little bit risky given the repricing dynamics. So one, I'm curious, those debt service coverage ratios, are those out of origination or are they updated? And then two, do you happen to know what the existing loan yield is on this book versus updated?
Michael Hagedorn: Yes, the weighted average debt service coverage are current. They're based on recent rent rolls. We update that and the loan to values on a regular basis. I don't have the loan yield in front of me, but I will tell you again, when we look at that repricing, we've not had to modify any of the terms on our repricing and our forward look where we assess each loan that reprices over the next 12 months, we expect the same results. But we will have to look that up. I don't know if you have it, Travis.
Travis Lan: Listen, I don't have the full portfolio in front of me, but I'll try and give you some color that may be helpful. So as we show on that page, Matt, we have $420 million of fully rent controlled loans. Those would be the lowest yielding segment. And that's 4.6% yield. We have another, call it, $1.8 billion, I'd say, of exposure to properties that have some amount of rent control in them. And that portfolio yields $545 million. So I think when you look broadly at multifamily, you're going to be closer in total to that $545 million yield, give or take.
Matthew Breese: And those buckets, the $420 million of pure rent regulated and the $1.8 billion of some rent regulated, those pass the stress testing you went through as well?
Travis Lan: Yes. And the $420 million is pure rent regulated, and it's $1.4 billion, which is partial, 20% or less rent regulated.
Matthew Breese: Okay. I know I'm being long-winded, but this is my last one. Ira, you had mentioned some, you know, frustration with overall profitability levels. Can you better define for us at which levels you'd be satisfied profitability-wise, maybe just measured by ROA or ROTC? And as we think about the forward model here, when do you think we can get back to, let's call it a 1% ROA for the bank?
Ira Robbins: I don't want to go against the guidance that Travis provided, right? But I'm pretty optimistic about where I think we're going to be in 2024. We were generating 60% of return on tangible common at the end of last year. And I think that's an appropriate level that we should begin to target, and we should get back there.
Matthew Breese: Okay. I'll leave it there. Thanks for taking all my questions.
Ira Robbins: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I will turn the call back over to Ira Robbins for any closing remarks.
Ira Robbins: I just want to say thank you for dialing in today, and we look forward to talking to you next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.